Operator: Good day, ladies and gentlemen, and welcome to the Celanese Corporation Q3 2013 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to introduce your host for today's conference call, Mr. Jon Puckett. You may begin, sir.
Jon Puckett: Thanks, Kevin. Welcome to the Celanese Corporation Third Quarter 2013 Conference Call. My name is Jon Puckett, Vice President of Investor Relations. With me today are Mark Rohr, Chairman and Chief Executive Officer; and Steven Sterin, Senior Vice President and Chief Financial Officer. The Celanese Corporation third quarter 2013 earnings release was distributed via Business Wire on Friday, October 18, after market close. The slides for the call and our prepared comments for the quarter were also posted on our website, www.celanese.com, in the Investors section. All of these items have been submitted to the SEC in a current report on Form 8-K. As a reminder, some of the matters discussed today and included in our presentations may include forward-looking statements concerning, for example, Celanese Corporation's future objectives and results. Please note the cautionary language contained in the posted slides. Also, some of the matters discussed and presented include references to non-GAAP financial measures. Explanations of these measures and reconciliations to the comparable GAAP measures are included on our website, www.celanese.com, in the Investor Relations section as applicable. This morning, we will begin with introductory comments from Mark Rohr and then field your questions. I'd now like to turn the call over to Mark.
Mark C. Rohr: Thanks, Jon, and good morning, everyone. Our prepared remarks were released with the earnings last Friday, so I'll keep my comments brief and then open the line for your questions. For the quarter, we're pleased to report adjusted earnings of $1.20 per share. That's the highest level of earnings we've had this year. As most of you know, throughout the year, we focused on items we control to create value for customers and shareholders, and this quarter was no different. Our earnings came through on strengths of efforts to penetrate sophisticated markets, good operational reliability and Celanese-specific productivity initiatives. Our segment income margin expanded 240 basis points year-over-year and 110 basis points sequentially. The sequential improvement was driven by less turnaround activity in Acetyls, improved margins in Industrial Specialties and consistent results in Consumer Specialties. Engineered Materials was slightly down due to the impact of a turnaround in our Middle Eastern affiliate, which we partially offset by continuing to penetrate the auto market. Strong earnings generated operating cash flow of $232 million and adjusted free cash flow of $117 million. We deployed this cash, spending $96 million on share repurchases and doubling the dividend to $0.72 per share annually. Even with these actions, we ended the quarter with $1.1 billion on our balance sheet, and we remain well positioned to pursue our capital deployment strategy. As we take our early view of 2014, we're approaching next year focused on Celanese-specific initiatives that will yield approximately $100 million in incremental earnings. These initiatives are broken down into 3 areas of focus. One is improved operational efficiency, which we expect will contribute approximately $45 million to earnings in 2014. The second is creating upstream and downstream raw material and mix benefits, which we anticipate to deliver approximately $25 million in 2014. And the third is translating innovation into earnings, which we expect to drive about $30 million of earnings next year. We are optimistic that our hard work and success in 2013 provides us with the momentum to grow 2014 earnings, consistent with our long-term objectives. So with that, I'll now turn it over to Jon for Q&A
Jon Puckett: Thanks, Mark. Kevin, let's go through the queue.
Operator: [Operator Instructions] Our first question comes from David Begleiter with Deutsche Bank.
David L. Begleiter - Deutsche Bank AG, Research Division: Mark, very good cost control in the quarter. SG&A was down 14% year-over-year and quarter-over-quarter. How much of that is sustainable? How much will be given back as you continue to grow moving forward?
Mark C. Rohr: Well, I think you should look at this as annual kind of numbers, David. So what we're doing is we're taking steps to continue to drive sort of our efficiency of operations. And so rather than break it out and look individually at this, I think if you look at it from an annualized kind of basis, we hope to translate that into a run rate as we go into next year.
David L. Begleiter - Deutsche Bank AG, Research Division: And Mark, looking at '14, you didn't mention any organic volume growth or managing benefits in the year-over-year bridge. Do you still expect those to be benefiting earnings growth next year?
Mark C. Rohr: Well, I think there's a lot of ups and downs. So yes, we do anticipate some business improvements in some areas. Having said that, we've got things like pension headwinds and other items that are likely to roll through. So net-net, I think those things kind of wash out, David, as we go into next year.
David L. Begleiter - Deutsche Bank AG, Research Division: And just lastly, in Acetyl Intermediates, Q4 versus Q3, will there be less turnaround activity, and if so, what will the dollar impact be?
Mark C. Rohr: Yes, it's about the same. It's flat.
Operator: Your next question comes from Duffy Fischer with Barclays.
Duffy Fischer - Barclays Capital, Research Division: On the charge for the Middle East turnaround, can you walk through what exactly is that $15 million? Is that cost you sent them? Is that forgone dividends back to you, or is that your pro rata share of missed EBITDA?
Steven M. Sterin: Yes, it's probably not quite that high, probably north of $10 million. Those are the actual costs, our share of the cost of the turnaround. You also tend to have inventory draws, which double costs in your P&L during that period as well. So that's what that represents.
Duffy Fischer - Barclays Capital, Research Division: Okay. And then Mark, on the AEM and into autos, in particular, you highlighted volumes were down for auto builds 13% in Europe, 9% in the U.S., but your volumes were only down 2%. How much visibility do you have into inventory in the chain? Is there a chance that maybe some inventory was being built and that's why your numbers were better than what the auto numbers were?
Mark C. Rohr: We don't think so. If you look at, I mean, inventory in terms of days of backlog, if anything, they've been trending -- it's gotten tighter. So I'm looking at Steven to make sure I don't give you some wrong data, but the data I've looked at would tell me that, especially in Europe, inventory is tighter. So no, we don't think that's the case. We're able to track our success in autos on a product-by-product, customer-by-customer kind of basis. So we tend to be moving into the vehicles that they are moving the most of.
Operator: Our next question comes from Laurence Alexander with Jefferies.
Laurence Alexander - Jefferies LLC, Research Division: I guess first, the $45 million tailwind from plant operations that you're expecting in 2014, is that a reasonable run rate, or do you see it increasing over time?
Mark C. Rohr: Well, I think that -- I mean, there's a combination of things there. Part of that is better operations, Laurence. We've had a run here late last year and early this year of more operating upsets than we'd like to have. So part of it is taking steps to minimize the likelihood of that occurring in the future, and that's well underway by our manufacturing team. Another part of it deals with some consolidation or rationalization opportunities we have to become more efficient on our manufacturing process. That part would be ongoing. So I would suggest maybe half of it or so is something you could kind of think is a run rate contribution over time.
Laurence Alexander - Jefferies LLC, Research Division: And how's the -- can you give a little bit more detail on TCX volumes or margin trends?
Mark C. Rohr: Well, we're running our plant in China. It's running quite well. Having said that, we're at certainly contemporary low prices on ethanol, so there's not much contribution out of that asset today. Coming, we're working now with PetroChina. We're very encouraged by that activity. We're trying to secure land in Indonesia, which is agonizingly slow process. So there' still a lot of encouraging activity going on, Laurence, but again, you shouldn't see that as being a material contributor to the corporation in the near term.
Laurence Alexander - Jefferies LLC, Research Division: And then just lastly, on the Other Activities line, as you look out over the next 3, 4 years, anything that will drive significant lumpiness in that?
Steven M. Sterin: Yes. Actually, if you look historically, that's quite a lumpy category mostly because you got your pension accounting going through there. So when interest rates change, you tend to see higher expense there -- higher or lower expense. So yes, when we get into next year and we get some of the certainty around things like pension and that, we'll give you a sense of what the lumpiness look like. But yes, just pretty volatile.
Laurence Alexander - Jefferies LLC, Research Division: But the $100 million bridge that you're thinking of for next year, that's after taking that into account or that's before it?
Steven M. Sterin: It is. No, it takes into account any headwinds that would be in there.
Operator: Our next question comes from John McNulty with Crédit Suisse.
John McNulty - Crédit Suisse AG, Research Division: With regard to the methanol facility that you're in the process of ramping up, can you give us an update of where we are on that, the permitting, the construction, et cetera, and if that's coming in line as expected?
Mark C. Rohr: Yes, John, we've got all the major equipment on order. We're very pleased it's come in at or below budget relative to that. The engineering is well underway. We started doing some off-site fabrication. We have 2 of the 3 permits. The last permit is waiting on the federal government, and so far, that's not a problem. But we're starting to get a little bit anxious that they're taking a fair amount of time getting that done. So right now, still, everything's still fine, and we'll keep you guys posted if we get to a point where that startup is impacted at all.
John McNulty - Crédit Suisse AG, Research Division: Great. And then with regard to the MOU with PetroChina, I guess maybe you can walk us through how we should be thinking about kind of the road markers along the way and maybe how should be thinking about news flow out of that venture, if you will?
Mark C. Rohr: Well, we have 2 very active teams working, and I guess a way that I kind of measure these things is the seriousness by which they're taking it. So Chairman Zhou has cranked up his organization. They're working very actively. We just had a large group looking at the asset we have in Nanjing and getting very comfortable with the technology and the opportunities there. We've set a hard milestone for next August, kind of -- and we'll call it project milestones. So I would hope that as we get into next year, there'll be some ability for me to communicate on how that's going and what the future looks like.
Operator: Our next question comes from Frank Mitsch with Wells Fargo Securities.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: With respect to Nanjing, you mentioned that it's running quite well. Can you give us some color in terms of the operating rates there?
Mark C. Rohr: The last time I looked, we're running 85% or 90% capacity, so that kind of level.
Frank J. Mitsch - Wells Fargo Securities, LLC, Research Division: All right, terrific. And then obviously, the share buyback stepped up fairly significantly here. Can you talk about what sort of pace we should be anticipating Celanese to do here in Q4 and as we enter into 2014?
Mark C. Rohr: Well, I think we've communicated to you that -- broadly, we communicated our interest to continue to be in the market as it makes sense. So I think you should expect us to continue to take advantage of the cash we have on hand and buy back some shares over time as it makes sense.
John McNulty - Crédit Suisse AG, Research Division: All right, so a similar pace is not out of the question then?
Mark C. Rohr: Not out of the question.
Operator: Our next question comes from Kevin McCarthy with Bank of America Merrill Lynch.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Mark, according to the trade press, one of your competitors will be shuttering some VAM capacity in the United Kingdom. Can you talk about industry operating rate in Acetyls, and would that action have any influence on your own asset footprint in the region, either positively or negatively?
Mark C. Rohr: Well, I think the problem with VAM is it -- I mean, it's operating, as best we can tell, about 70% global capacity. So it's not -- there's not an acute shortage of that material. I think that asset's shutting and Europe could tighten that market a little bit, so maybe there'll be a little bit of favorable movement on that. But it's hard for us right now, Kevin, to see anything that anyone can do to dramatically impact that market.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Okay. And then shifting gears, if I may, to engineering plastics, you've highlighted a number of expansions at Polyplastics, KEPCO and Ibn Sina. I guess 2 related questions. How would you characterize the expected rate of demand growth for palm resin, let's say, over the next 3 years? What's a good structural rate of growth to think about? And then can you talk a little bit about your typical contract structures with the larger buyers and how frequently you would typically reprice that product?
Mark C. Rohr: Let me -- when you look at palm as a whole, it's still a dramatically underutilized polymer. So I'll give you some ranges there. Just if you look in autos, the gaps between, for us, the highest use and the average use is about 4x, and that's roughly 40% of our business. If I look at it in the extreme case, in the emerging economies, it's 2x, 3x, 4x, depending on who you're talking to. So there's tremendous upside potential in transportation, broadly speaking, for these molecules. There's also movement to use more of our kind of engineering materials in even things like aerospace. So we're quite bullish on the ability to grow volumes in this business, but it will be specified volumes. So we feel pretty comfortable with both those sites coming on. The Malaysian site, of course, will be on early next year, and the Saudi Arabian site is going to be on, I believe, in 2016, something like this, '16 or '17, so it's a ways down the road. Our pricing is pretty -- the comment I'll make on pricing is it -- if it's specification materials, the individual pricing negotiation for that. And we have the ability to move price if we need through the term of that contract. If it's in a heavily commoditized market, for example, zippers, then it's not so much a contract as it is almost incremental sales.
Operator: Our next question comes from Bob Koort with Goldman Sachs.
Robert A. Koort - Goldman Sachs Group Inc., Research Division: Mark, can you talk a little bit about on AI? Sequentially, you had some profits up, but you didn't have the same bogey of the turnaround in raw material problems. So I guess it would suggest underlying profits still shriveled a bit sequentially. So what was going on there given some of the volume comments you had?
Mark C. Rohr: Yes, that's a good observation, Bob. What we saw is we saw some strengthening in Asia, and we saw weakness in some of the derivatives, the hard value derivatives in Europe. And so the net impact of that was the base business, absent the turnaround, probably shrank a little bit.
Robert A. Koort - Goldman Sachs Group Inc., Research Division: And I wanted to ask a little bit more on this $100 million. You mentioned that there was a potential $100 million, so should I read that to mean the expected value is somewhere less and the top of that range is $100 million?
Mark C. Rohr: Well, no. I think that a couple of you guys asked us to make sure we commented early on this, and so we spent some time going through the preliminary plans, and this is a number that we came up with summing up our actions that are out there. I think we'll update this in the first quarter, Bob. Right now, we feel pretty good about those numbers. What I can't tell you right now, since we've not finished it, is a detailed review of all the other puts and takes commercially that occur. And I mentioned one. It's just like pension headwinds. We won't know that until we get close to the end of this year, and a flash on that could be as much as $30 million, which we kind of anticipate. We have to find other ways to offset that. So our objective is to go out and incrementally create at least $100 million, and we've outlined a way that, right now, we're trying to do that.
Robert A. Koort - Goldman Sachs Group Inc., Research Division: And should I view that $100 million is having some sort of magic governor, or if the end markets are healthier, you don't have to be quite as aggressive in these actions, and if they're weaker, then you have to be more aggressive?
Mark C. Rohr: Well, yes. I think that's probably fair. That's right.
Robert A. Koort - Goldman Sachs Group Inc., Research Division: Okay. And then lastly, do you have some sense that you can share with us about how many of the sites you mentioned, nonintegrated sites, possibly being vulnerable to some strategic action? Is there a long list of those? Is that a short list? Is it...
Mark C. Rohr: It's fairly short, it's a couple.
Robert A. Koort - Goldman Sachs Group Inc., Research Division: Got it. And my last one, I appreciate the time. You guys and, I believe, your competitors have put through some price hikes in Consumer. We didn't see any price change this quarter. How long until we might see those if they're successful?
Mark C. Rohr: That's a next year kind of event. And in that segment, there's a little bit of a lag in that because volumes are always low in the first part of the year, so it's quarters 2, 3 and 4 next year.
Operator: Our next question comes from Vincent Andrews with Morgan Stanley.
Vincent Andrews - Morgan Stanley, Research Division: I had to hop off for a minute. So I apologize if this has already been asked, but do you have a view on where your turnaround activity is going to be in 2014 versus 2013?
Mark C. Rohr: Vincent, I'm sorry, what activity? You said...
Vincent Andrews - Morgan Stanley, Research Division: Turnaround activity. So you had substantial turnarounds this year, and I'm just curious how that comps against next year.
Mark C. Rohr: Yes. Well, actually, the first quarter and the second quarter, we have a couple of big pokes in the eye for next year. So yes, the first half of the year, you're going to see a couple of big turnarounds.
Vincent Andrews - Morgan Stanley, Research Division: And that's going to be -- so those amounts, that'll be an incremental headwind relative to '13?
Mark C. Rohr: If you look -- it's both yes and no. So yes in terms of contemporary operations like sequentially. No if you look at it in the full year because we had some outages last year -- or this year.
Vincent Andrews - Morgan Stanley, Research Division: Okay, understood. And then could you just remind us of the issue on land in Indonesia and sort of the bottleneck that you're in there? What are the sort of specific dynamics there, and what can you do to overcome them?
Mark C. Rohr: Well, there's 6 different ways you can own -- you have ownership of land in Indonesia, and so getting a clear title is unbelievably difficult. The piece of property that's been targeted by the design team, which includes Pertamina, has 32 owners. And so the process of going through and properly getting their permission and getting a sales price is just very onerous. So we're in the middle of doing that, and I'm sure you'll say, "Well, Mark, why don't you go find a piece of land that has one owner?" I don't think it exists.
Vincent Andrews - Morgan Stanley, Research Division: And maybe just a last quick one on the -- what was the thought process behind increasing the dividend again so quickly? What sort of triggered that versus the decision you made during the second quarter?
Mark C. Rohr: Well, we had been, as you know, very vocal about a desire to get our dividend up into the pack, and that's something our shareholders have wanted us to do. And what we realized in that process is that where the -- everybody out there was doing the same thing we're doing, raising dividends double digit, and so you kind of never get there. So we decided it was better for us to go ahead and take the step and get in the pack. And now that we're in the pack, we'll continue to grow dividends as you would expect us to annually.
Operator: Our next question comes from Jeff Zekauskas with JPMorgan.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Did you guys reaffirm your 2013 guidance of 12% earnings growth?
Mark C. Rohr: Jeff, yes. You go back to -- I think what we gave -- we never gave a 2013 guidance of 12% earnings growth. What I gave was a long-term compound average over 5 years expectation of that, and so that is still the long-term expectation.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Well, maybe another way of putting it is, how's the fourth quarter looking relative to the third quarter?
Mark C. Rohr: It's hard for me to say, Jeff. As much as I'd like to, there's a lot of puts and takes that we're seeing in the industry out there. On the good side, we just had some big orders that rolled in. On the bad side, we've had some folks tell us that things that they've scheduled, they're going to go ahead and run off inventory and push it out into next year. So I'd be remiss if I forecasted a number there. If you push me, I think the number that you guys have for us for the full year is a reasonable number.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: And in terms of CapEx for next year, is it likely to be closer to $500 million or closer to $400 million or something in the middle?
Mark C. Rohr: Probably a little bit in the middle. If you roll in all the things that we have going on -- actually, we have 2 big projects. We're doing a lot of the work on methanol, but my gut is it's probably a bit overstated, what we'll actually spend next year in that. We're doing a lot of work, and in Narrows, Virginia rebuilding the power system there, that will occur. So I think between $450 million and $500 million is the number.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Okay. And then lastly, do you expect an earnings contribution from ethanol next year in that if you're running at 85% or 90% utilization, you're not making very much? Does that change next year?
Mark C. Rohr: Right now, it's very heavily dependent on what ethanol pricing in China and Asia does, Jeff. And right now, I'd say we're not counting on a contribution from that, a material contribution.
Operator: Our next question comes from Chris Nocella with RBC Capital Markets.
Christopher J. Nocella - RBC Capital Markets, LLC, Research Division: Last week, another chemical company had pretty encouraging things to say about Europe and Asia. You mentioned higher volumes there for emulsions for your business, so can you give us a broader sense of what you're seeing in those regions on the economic front?
Mark C. Rohr: Yes, I think certainly, there's more optimism in Europe today than there was 6 months ago. I think Merkel's reelection is playing a big role in that. We are seeing some pretty good builds in autos. As an example, in Europe, we're seeing pretty good activity, although it was slow to start in coatings in those areas. So I think generally, Europe is feeling better about itself than it was earlier in the year. In Asia, it's really a mixed bag. China is probably sequentially a little better. It seems to be getting its footing. It's certainly not getting -- we can't see it getting worse, I guess, is what I'm saying in China. Korea and Japan remain okay. India is the weak spot, and India has sort of a ripple effect on all of Southeast Asia. So I think we're ending the year, in both of those regions, maybe a little bit better than we started the year. That's how I would -- how I'd characterize it, Chris.
Christopher J. Nocella - RBC Capital Markets, LLC, Research Division: Okay. And you started your palm plant in Frankfurt not so long ago. Can you give us a sense of how long until you hit full utilization there and what incremental margins could look like if this ramps a little bit higher?
Mark C. Rohr: Well, we're running pretty close -- I mean, it's a plant that has tremendous theoretical capacity, but it's very much mix-dependent. And mix is how you compound the product in the back end of it. And right now, we're shifting that mix more and more to more specific and specialty grades, which kind of de-rates the plant a bit. So we're certainly not operating at capacity, but we're probably -- we're getting pretty close, I think.
Christopher J. Nocella - RBC Capital Markets, LLC, Research Division: Okay. Just one more for me if you don't mind. On fuel ethanol in China, last quarter, you mentioned you're in discussions with some other parties besides PetroChina. So maybe can you just discuss where you stand versus 3 months ago in some of those discussions?
Mark C. Rohr: We continue to -- there are a number of interested parties out there, but what we need is we need someone to step up and take on a major project. And right now, we think PetroChina is the best, the most likely company to do that inside of China.
Operator: Our next question comes from Hassan Ahmed with Alembic Global.
Hassan I. Ahmed - Alembic Global Advisors: Fairly recently within AI, you guys announced a series of price hikes. Just hearing your commentary, it seems you continue to see that market fairly oversupplied. So I mean, is it fair to assume that those initiatives were more to offset higher costs?
Mark C. Rohr: Well, no. I think our costs for the most part, have been pretty, I'm looking at Steven, have been pretty flat.
Steven M. Sterin: Gone up a little bit.
Mark C. Rohr: Maybe have gone up a little bit. I think we're still trying to shore up and establish what the floor of that business is. We're out there trying to -- that's what we're trying to do. We're just trying to establish a good floor.
Hassan I. Ahmed - Alembic Global Advisors: Understood. Now just sort of carrying on with that, one of the silos, obviously, within sort of earnings contribution or incremental contribution for 2014 is reduction of raw material costs, right, $25 million. You talked about upstream and downstream efficiencies. Now as I look at the broad sort of raw material exposures you have, it's essentially methanol, natural gas and ethylene. So are you guys expecting some reductions in the prices of those commodities, or is it something beyond that?
Mark C. Rohr: Well, I think pricing is a function -- you have the base commodity but also your logistics and your infrastructure and how you get it to where you're getting it. So we're working that part of the equation as well to give us better access to lower-cost material at whatever the market price is. We're also doing some things on energy, which you excluded in that, that can be pretty attractive for us, and that's changing from one energy source to another energy source, moving more towards gas in our plant sites. And the combination of those things is what translates to that $25 million.
Hassan I. Ahmed - Alembic Global Advisors: Understood. So it's not that you're probably baking in something sort of flattish with this year in terms of those raw materials?
Mark C. Rohr: Yes, I think -- I'm trying to recall the numbers. A few million bucks, I think, is what we're looking at. If you look at base -- we're not looking at very much base movement in cost of raw material.
Operator: Our next question comes from Andy Cash with SunTrust.
Andrew W. Cash - SunTrust Robinson Humphrey, Inc., Research Division: Just regarding the 1 or 2 strategic alternatives that you mentioned, maybe at a high level, you could sort of characterize that. Would it be sort of M&A or shutdowns? Should we look forward to some restructuring costs, or would there be potential gains in those transactions or those actions?
Steven M. Sterin: Yes, well, there will not be a gain, a material gain, if it occurs. And I think what we're looking at today, Andy, is some pretty de minimis kind of stuff. So yes, there could be some restructuring cost in there, but you shouldn't -- it'll be pretty modest, yes.
Andrew W. Cash - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then secondly, if I could. Overall, in the EVA area, you mentioned some oversupply. Could you characterize how that industry is operating in terms of operating rates on an industry-wide basis? And then do you think this is something that turns around in the next year or is it going to take a multi-year recovery?
Mark C. Rohr: It's going to take a multi-year recovery, Andy. If the businesses -- there's plenty of capacity out there right now. Where we're seeing success -- and I think most people in this business may have niche products they can move in a unique way, and certain applications they can manage to eke out pretty good returns. If you don't have that, you're really pulling through ethylene.
Operator: Our next question comes from John Roberts with UBS.
John Roberts - UBS Investment Bank, Research Division: At the end of your prepared remarks, you talked about the average CapEx staying down around $400 million, but you're obviously going to be above that in the near term. So should we expect below $400 million out in 2015 or '16, or is this a post-2014 comment?
Mark C. Rohr: Yes, it could be in 2015. No, no, when you get to '16, it'll be back down below $400 million.
John Roberts - UBS Investment Bank, Research Division: It will be below $400 million?
Mark C. Rohr: Yes, yes.
John Roberts - UBS Investment Bank, Research Division: And then with respect to your comment on the TCX milestone in China next August, what specifically are you looking for at that point? Is that -- is it having a site identified, or is it having some project finance lined up? Or what would be the items in the milestone for next August?
Mark C. Rohr: There's a couple of aspects that -- the project of this is the easiest part of it. The more challenging aspect for the Chinese government, really, is implementing the national fuel standards in a way that supports the use of ethanol broadly. Today, the fuel standards tend to be more regionally applied or provincially applied, and so there's just not a good, consistent way of doing it. So we have to go through a process working with PetroChina of validating the benefit of ethanol in fuel, and I know that sounds -- like that's a foregone conclusion. None the less, we need to walk through that process with them. We need to work with certain provinces to get acceptance of it. We need to do some trials to demonstrate it, and all that activity is scheduled over the next year.
John Roberts - UBS Investment Bank, Research Division: So you might not have a site located by next August or at least publicly announced?
Mark C. Rohr: That's correct. We may not. There's no shortage of sites, I'll say, and there's -- that is not the problem.
Operator: Our next question comes from Mike Ritzenthaler with Piper Jaffray.
Henrique M. Akaishi - Piper Jaffray Companies, Research Division: This is Henrique in for Mike. Regarding TCX and the deal with PetroChina, is there any risk to your plan regarding the integrity of the management team given all the recent scandals?
Mark C. Rohr: No, we feel pretty good about it. I mean, I've gotten to know Chairman Zhou pretty well, and so I guess the only comment I could make is that they -- what I see at PetroChina is they're taking it very, very seriously, and all the contact I've had with them has been totally aboveboard and -- as you would expect. So no, we don't think so.
Henrique M. Akaishi - Piper Jaffray Companies, Research Division: All right. Can you explain the difference between the margin pull in industrial ethanol and fuel ethanol?
Steven M. Sterin: Well, if you look at it right now, it's a little bit theoretical because there's not a lot of fuel ethanol in Asia. But where there is fuel ethanol, $152 a ton higher value than industrial ethanol.
Henrique M. Akaishi - Piper Jaffray Companies, Research Division: Okay. Last one for us, so the -- in kind of your 2014 growth plan, the innovation bucket is a sizable portion of that. Can you elaborate further on which products are included in that bucket, so Qorus and others?
Mark C. Rohr: Yes, I mean, Qorus is in there, and they're probably for 15% to 20% of it. There are a number of specialty materials that are in there, which is probably the bulk of it. There's some cellulose acetate new products in there, which is a little slice of it. More movement in emulsions and some unique applications is coming in through our VAE portfolio. So everybody's got a little piece of that, I guess, is what I'd say, John.
Operator: Our next question comes from Nils Wallin with CLSA.
Nils-Bertil Wallin - CLSA Limited, Research Division: Regarding the Celanese's penetration of autos, I think at one point, you may have said that there was about 2 kilos per auto, and your goal is to get 4 to 6 kilos or so. So I was just curious if you would update us where you are in that trajectory and how much of that occurred in this quarter.
Mark C. Rohr: Well, I don't want to give out exact numbers, but what I'll say is that year-over-year, we're probably up 6% in our penetration. So you can use those kind of numbers and get a sense of kind of the movement that we're seeing, if that makes sense. The highest vehicle we have is probably in the 8 or 9 kilograms per vehicle, which includes not only engineering materials but also composites. And the lowest we have is probably 0.1. So that's a sense of the range. So there's -- but yes. So if you think in terms of the 2-ish kind of ballpark going to the 8-ish kind of, in an ideal sense, that's how we see our entitlement.
Nils-Bertil Wallin - CLSA Limited, Research Division: Okay, understood. With regard to approvals for fuel ethanol in China, are there any particular provinces where it's further along, and is there any particular region where you're a lot more bullish on being able to get those approvals quicker?
Mark C. Rohr: Well, yes, I mean, there are some provinces that have already approved it, and there's other provinces or municipalities that are very interesting. Beijing is one. It's -- unbelievably interested in it. So I don't know that we're -- if I put forth the proposition we're worried about that, I'm really not. It's just a political process you got to go through. And I think a number of the coastal provinces are -- either already have approved ethanol or very interested in it. The inland provinces, especially the ones where you have coal and methanol already, are more focused around trying to continue to allow methanol to go into their fuel.
Nils-Bertil Wallin - CLSA Limited, Research Division: Understood. And just finally, if I may, going back on the strategic alternatives for nonintegrated production sites, I know -- I mean, this year, you got almost the same amount of improvement by shutting down Spondon. Should we think that the alternatives for these other plants will be significantly less than what you did on the Spondon shutdown?
Mark C. Rohr: There'll be less than that, but it should have the same kind of general broad order of magnitude.
Operator: Our last question comes from P. Juvekar with Citi.
P. J. Juvekar - Citigroup Inc, Research Division: Mark, you said you don't expect much ethanol contribution next year. Ethanol prices have come down and spreads have narrowed in China. So can you talk to us about what are the key drivers of that spread, ethanol spread in China and what are the risks?
Mark C. Rohr: Well, P.J., I think what we're seeing there is that there's a lot of ethanol available in China currently. There's been more cassava consumed. There's actually -- believe it or not, there's a lot of corn as well available in China, and so incrementally, they're shoving ethanol in the market. I have a hard time believing this, but one of the bits of data we've looked at and seems to have some foundation to is the fact that alcohol sales were way down in China. And so the price of alcohol as it goes into liquor is way off as well. And so the net-net of all those things, we've seen prices drop for a while in the low $700 a ton. They're probably $740 or $750 a ton now. And that's a hard to place for us to make very much money.
P. J. Juvekar - Citigroup Inc, Research Division: And when you look at the acetyl cycle in general, what are the key things you're looking for? Is it the China growth, or is it capacity shutdowns by some of the high-cost players?
Mark C. Rohr: I think it's probably the latter, although it's more in China. If you look at China, really, is the swing market for acid. So U.S. operations are pretty steady. There's not very much in Europe. So it really gets into China. And so there, we're seeing a number of the expensive folks are starting to indicate they're throwing in the towel. So I think that's what's going to happen, P.J. But I just would urge you not have a view that that's going to happen overnight. I think we've still got operating capacity. We guess we're operating in the high 70s, mid- to high 70s, and that's just a long way from the kind of inflection point you probably need, which, in the past, we've seen when you're above 90%.
P. J. Juvekar - Citigroup Inc, Research Division: That's helpful. And lastly, can you just give us status of your Singapore plant and how it's running and utilization rate there?
Mark C. Rohr: Thanks, P.J. Well, we're running Singapore. We continue to operate it in a way that fits our needs for our entire portfolio, and I don't see that changing right now.
Jon Puckett: Okay, thanks, P.J., and thanks, everybody else, for your time this morning. We'll be around for questions later today.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.